Colleen Sullivan: Hello, everyone. My name is Colleen Sullivan Director of Investor Relations and I welcome you to the National Health Investors Conference Call, to review the Company's results for the First Quarter of 2015. The results as well as notice of the accessibility of this conference call on a listen-only basis over the Internet were released yesterday after market closed and a press release that's been covered by the financial media. As we start let me remind you the statements in this conference call that are not historical facts are forward-looking statements. NHI cautions investors that any forward-looking statements may involve risks or uncertainties and are not guarantees of future performance. All forward-looking statements represent NHI's judgment as of the date of this conference call. Investors are urged to carefully review various disclosures made by NHI in its periodic reports filed with the Securities and Exchange Commission including the risk factors and other information disclosed in NHI's Form 10-Q for the year ended March 31, 2015. Copies of these filings are available on the SEC’s Web site at www.sec.gov or at NHI’s Web site at www.nhireit.com. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the Company’s earnings release and accompanying tables and schedules, which has been filed in Form 8-K with the SEC. Listeners are encouraged to review those reconciliations provided in the earnings release, together with all other information provided in that release. I will now turn the call over to Justin Hutchens.
Justin Hutchens: Thank you, Colleen. Hello, everyone, and thank you for joining us. I’m excited to showcase today a new format of our earnings calls. We’ve made changes based on a wide variety of feedback solicited from shareholders and analysts. Following my commentary Roger Hopkins, Chief Accounting Officer will summarize the Company’s performance for the quarter. Eric Mendelsohn, who I’m very pleased, joined our team earlier this year as Executive Vice President of Corporate Finance will review our capital plan and balance sheet metrics. Kevin Pascoe, Executive Vice President of Investments will cover our portfolio performance and new investments. I encourage everyone to review details regarding our portfolio and company performance metrics provided in our refreshed and updated supplemental materials that are available in the Investor Relations page of NHI’s Web site. I am thrilled to report 2015 is off to a great start with solid first quarter results. We reported a 7.6% increase in normalized FFO per share and a 6.5% increase in normalized AFFO per share year-over-year. We pride ourselves on being exceedingly focused on delivering value to our shareholders, for example our compounded annual growth rate for normalized FFO per share is leading the peer group on a two, three, four, five and six year basis. Normalized FFO on a two year basis is 13.2% compared to the peer group average of 6.3% while dividend growth is 8.3% compared to the peer group average of 5.1%. Our dividend payout ratio remains low at 75%. These industry leading results are attributed to our talented management team, accomplished operating partners, pristine balance sheet and our reputation as a trustworthy capital partner. NHI offers shareholders a strong balance sheet that rivals that of the large cap company combined with the growth profile of a smaller company where each investment yields a more meaningful impact. Year-to-date we’ve had $209.5 million of investment activity and our pipeline remains very active with leaseback and development opportunities. I will now turn the call over to Roger to provide some color on the quarterly results.
Roger Hopkins: Thanks, Justin. Hello everyone. NHI continues to deliver excellent performance trends. For instance with a total return of 426% over the past 10 years we are proud of the fact that we have performed among the top 5% of all publically trades REITs. Turning to the first quarter results, I am very pleased to report excellent financial performance for the first quarter of 2015. Normalized FFO increased to $1.13 per diluted share. Our normalized AFFO increased to $0.99 per diluted share, which represents a 7.6% and 6.5% increase respectively over the first quarter of 2014. Normalized FAD for the first quarter increased to $1.03 per diluted share a 6.2% increase over the prior year. These increases are reflective of the results of our investment program focused on acquiring market leading senior housing assets. Our first quarter results each year include the impact of non-cash compensation expense related to the immediate vesting of certain stock options grants. A total of $1,231,000 or $0.03 per share was expensed in the first quarter, which will not recur in the second through fourth quarters. We expect non-cash compensation expense to be $233,000 for each of those quarters. Looking at our investments for the quarter we announced that our NHI Bickford Senior Living joint venture will develop five premier senior housing communities in Illinois and Virginia. Construction will take place throughout 2015 with openings planned for 2016. The total estimated project cost is $55 million. During the first quarter $941,000 in capital was deployed for these new developments. Also in the first quarter we closed on a $154.4 million loan commitment to recapitalize and finance the expansion of Timber Ridge at Talus, the best-in-class entrance fee senior living community in Issaquah Washington. The borrower is a joint venture between an affiliate of Life Care Services and Westminster Capital. The loan is divided into two notes under one master credit agreement. The $60 million senior loan note A, has a 10 year maturity and 6.75% interest rate that escalates 10 basis points per year after the third year of the loan. The $94.5 million construction loan note B, has a five year maturity at an 8% interest rate. NHI funded $28 million on note A and $11.3 million on note B. The remaining loan commitment is expected to be funded over the next 18 months. We have funded the loans with borrowings on a revolving credit facility. We had no dispositions during the quarter. We had one $2.5 million mezz loan pay-off related to one assisted living property. Moving on to our dividend, yesterday we announced a second quarter dividend of $0.85 per common share which is 10.4% above the same quarter in 2014. The FFO dividend payout ratio was 75.2% for the first quarter. Turning to guidance, our estimates for the full year have not changed. The range for normalized FFO is $4.52 to $4.58 per share and the normalized AFFO range is $4 to $4.04 per share. Our guidance range includes the impact of previously announced investments and the refinancing during the first quarter of $303 million of borrowings on our revolver to long-term debt at higher fixed interest rates. Our guidance range allows for the uncertainty in the structure and timing of the financing to fund our previously announced investments. I'd now like to turn the call over to Eric Mendelsohn to discuss the capital plan and balance sheet metrics.
Eric Mendelsohn: Thanks, Roger. Hello everyone. I'm happy to report on NHI’s conservatively managed capital plan we’re committed to being one of the most bankable companies during any business cycle to achieve this goal we practice discipline by churning out debt with staggered maturities and maintaining low leverage overtime. We target a blend of 60% equity with our long-term debt financings as we grow the company resulting in a conservatively leveraged balance sheet. Our balance sheet metrics lead the industry and include the following. Net debt to EBITDA was 4.3 for the quarter. Our weighted average debt maturity is 7.5 years, our weighted average debt cost of capital is 3.54% and our fixed charge coverage remains a very solid 6.5 times. Debt and equity markets remain active and liquid and NHI is well positioned to access these markets as needed. Regarding that during the quarter we financed 78 million with Fannie Mae through KeyBanc. The debt financing consists of interest only payments at 3.79% with a 10 year maturity. The mortgages are secured by 13 properties and NHI’s joint venture with Bickford senior living. Proceeds were used to reduce borrowings on NHI’s revolving credit facility as we mentioned in our previous earnings call in January we issues 225 million in unsecured notes to prudential capital group. We used the proceeds to reduce borrowings on our revolving credit facility. The notes consist of Series A notes in the amount of 125 million due in January of 2023 with a fixed annual rate of 3.99% payable quarterly with principle due at maturity. Series B notes in the amount of the 100 million due January 2027 with a fixed rate of 4.51% payable quarterly with the principle due at maturity. Terms of the new financing are similar to those under the credit facility with the exception of prepayment restrictions. Also during the quarter we established an at the market equity distribution program under which we can offer to sell shares of our common stock having an aggregate sales price of up to 300 million. This was done though KeyBanc Capital Markets, BMO Capital Markets, Goldman Sachs and Stifel Nicolaus. We intend to use the net proceeds from the equity distribution program for general corporate purposes which may include future acquisitions and the repayment of debt including borrowings under the Company's revolving credit facility. Turning to the revolver at March 31st we have 107,500,000 outstanding with an available capacity of 342,500,000 and we’re currently reviewing the most effective way to manage this outstanding balance of variable rate debt. I'll now the call over to Kevin Pascoe, who will cover our portfolio details and new investments. Kevin?
Kevin Pascoe: Thank you, Eric. NHI’s diversified portfolio of senior housing and medical properties enjoys industry leading coverage ratios and performance led by some of the nation's most experience operators. I'll start with our portfolio of performance. We are pleased with the performance of our portfolio the EBITDA on coverage ratio is 2.17 times. Our skilled nursing coverage remains strong at 2.94 times while our senior housing portfolio is 1.31 times. Our relationship with Holiday Retirement Corporation accounts for 16.8% of our cash revenue. The Holiday Retirement portfolio of independent living communities continues to improve occupancy ending the quarter with 91.6%. Notably the portfolio ended the month of April at 92.3% occupancy. The Holiday portfolio has a lease coverage service coverage ratio of 1.24 times. Our new investment with senior living communities performing as expected. This relationship started in mid-December when we closed the 476 million acquisitions and extended the $15 million line of credit to finance expansions on our existing campuses. SLC accounts for 15.8% of our cash revenue. The SLC portfolio has lease service coverage of 1.15 times versus 1.03 for the prior year. National Healthcare Corporation which represents 18.6% of our cash revenue and over half of our skilled nursing revenue continues to perform consistently and enjoys a 3.85 times corporate cash coverage. The Bickford joint venture which accounts for 12% of NHI’s cash revenue continues to deliver strong performance and growth opportunities. This contribution to NHI’s revenue has grown 8.4% when comparing the total revenue from Q1 2015 to the same period in 2014. Same-store EBITDARM is up 6.9% comparing Q1 2015 to Q1 2014 and excluding a favorable worker’s comp insurance adjustment that occurred during Q1 2014. The current occupancy on the total portfolio is improving year-to-date. The three development properties continue to lease up as planned and the two focused properties are stable. Occupancy improved over the fourth quarter when including new developments was down slightly on same-store due to increased resident turnover during the flu season. EBITDARM was essentially flat sequentially due to Bickford managing through increased resident turnover at the communities in addition to focusing on the leasing up the development properties and on boarding Middletown acquisition. Expenses were elevated during the quarter due to higher utility costs in the winter month and higher payroll costs associated with competitive wage pressure. The total Bickford portfolio including the developments continues to tap margin in excess of 36% and the margin is over 40% on the same-store group. As for future growth in the portfolio, the NHI Bickford joint venture will develop five senior housing communities in Illinois and Virginia. Construction is slated to start over the course of 2015 with openings planned for 2016. The total estimated project cost is 55 million. Each community will consist of 60 private pay assisted living and memory care units managed by Bickford Senior Living. The communities are expected to yield double-digit returns at stabilization. These five communities are part of the previously announced agreement between NHI and Bickford Senior Living to construct the eight communities. The first three, all in Indiana, opened over the prior 18 months. Once completed, the NHI-Bickford joint venture will be comprised of 36 communities in eight states. Construction will be funded with borrowings on NHI’s revolving credit facility. Moving on to new investments, year-to-date we have announced 209.5 million of investments starting with the previously disclosed, $154.5 million lending agreement to recapitalize and finance the expansion of Timber Ridge at Talus, a continuing care retirement community serving the Greater Seattle area and located in Issaquah, Washington. As a reminder, NHI would have the option to purchase the community upon the achievement of certain occupancy requirements which would indicate stabilized performance and support a purchase price of 115 million or greater. The purchase option window will begin at earlier of February 2019 or two consecutive quarters of Phase 2 averaging 90% or higher occupancy and ends 120 months later. Turning to our pipeline, we are in the midst of a very competitive environment but have a healthy level of investments under review. Our pipeline is very active with senior housing properties as well as medical properties. We remain very interested in growing the Company with high-quality properties and relationship. We remain both selective and opportunistic. With that, I'll hand the call back over to Justin.
Justin Hutchens: Thank you, Kevin. NHI is a uniquely positioned company when considering our outstanding credit metrics, industry-leading growth profile, exceptionally experienced operating partners in topnotch properties. For example since the start of our growth plan six year ago, we have added 117 properties with an average age of 12 years. The overall age of our portfolio dropped during this time from 28 years to 22 years. A large majority of the acquisitions have been private pay senior housing prosperities. I couldn’t be more excited about the value we have delivered to our shareholders overtime and our ongoing potential to continue to deliver outstanding performance. Operator, we're ready for questions.
Operator: [Operator Instructions] And our first question comes from the line of Juan Sanabria with Bank of America. Please proceed with your question.
Juan Sanabria: Just hope you can give us a little bit more color on the pipeline, the mix of assets, you mentioned medical properties I am not sure if that's MOBs or another asset type, is that comprised largely of single assets or portfolios and any thoughts on cap rates would be helpful?
Justin Hutchens: Juan, this is Justin. I am going to reiterate part of what Kevin said and that is that the pipeline, I'll characterize it in terms of volume as being as big as it's been since I've been at NHI. It's a very active marketplace obviously based on deal volume and throughout the industry, you can see that there is pretty good connection between bid and ask. In our case we remain very selective, we're encouraged by opportunities that we do have in our pipeline that are potential very good fit those include both private pay senior housing and newer skilled nursing facilities, when Kevin said medical we characterize a larger group called medical that would include skilled nursing and hospitals and specially hospitals. But at this time it would be skilled nursing. But all together I feel very good about our potential to grow and the looks we’re getting from the market.
Juan Sanabria: And any color on cap rates, do those continue to trend down from I guess the last couple of quarters?
Justin Hutchens: I would say the cap rates in my view are pretty consistent from prior quarter. You may see a -- I’ll stay away from all the specific examples, but I think cap rates are relatively flat at this time.
Juan Sanabria: And do you guys have any sense of supply on the RIDEA assets I think the latest NIC data showed a bit of an acceleration in secondary markets, any thoughts or color you could provide, would be great?
Justin Hutchens: For the most part our markets have been isolated from new supply threat. There has been one market that was hit fairly hard which is Kansas City. Outside of that market there has been a little bit of new supply added but nothing that’s been very impactful and nothing that we are concerned about. Next question?
Operator: Our next question comes from the line of Daniel Bernstein with Stifel Nicolaus. Please proceed with you question.
Daniel Bernstein: Actually I was going to go back to the pipeline a little bit, there has been some debate out there about whether the market trusts you or not and so I wanted to get your thoughts on, maybe not if you want to talk specific cap rates but how you’re thinking about the value of assets today, and the does that impact whether you want to make acquisitions versus say some more of those construction loans that you’re doing are loan to own type of investments?
Justin Hutchens: Sure. Well, I can give you an example that, in terms of how we’re looking at things. There was a portfolio that we bought at the end of ’13 from Holiday Retirement Corporation performing portfolio had some upside in occupancy. We bought it with a one-to-one cover on a trailing nine out of 6.5 cap and it remains one of the top performing portfolios for that company. There have been other portfolios that have been sold that are selling in the high fives and mid fives we’ve noticed. We are not a buyer at that price. However, if you get down into some smaller deal sizes we actually think we can see a 6.5 or better in private pay assets. We can see an eight or better in highest quality skilled nursing properties and those opportunities are under review but if you start getting into the very-very large portfolio of $500 million or more that premium you are paying for the large transaction is a little more than we’re willing to pay at this time.
Daniel Bernstein: And has been the competition we heard, we think in the like the MOB space there has been a lot of competition coming from foreign investors, is that the same for senior’s housing and have you may be seen any of that on other asset classes like skilled nursing or hospitals?
Justin Hutchens: The competition would include increased interest from private equity, now that banks are offering higher leverage non-listed REITs are still very active and loaded with capital but then of course just the other healthcare REITs. There is a enormous amount of capital I have even heard some life company capital making direct asset investments. So I’d say if you are an operator you have an enormous access to capital today which has made it pretty competitive, but I also always like to remind everybody that that’s a good indicator of the health of the industry and we’re very pleased to continue to review high quality opportunities and I am thrilled that we have our share to review.
Daniel Bernstein: And then on the RIDEA portfolio can you walk us through a little bit in terms of the timing of the occupancy losses I guess in the stabilized portfolio. We heard from a lot of other region operators during the starting season that some of those losses stretched into April may be troughed in January on the move outs but some of the occupancy loss has stretched in April. So I’m just trying to understand how your RIDEA portfolio performed through the quarter and maybe if you have any date on what it did during April so far?
Kevin Pascoe: Hi, this is Kevin. So what I’d say to that is it’s been consistent with what you said last that there was a trough earlier in the year. It’s been doing back overtime to some degree it’s stretched into April but the portfolio is stable and we are looking forward to some good growth opportunities later this year.
Daniel Bernstein: And one more quick question if you don't mind. The RIDEA portfolio as you only have one partner in the RIDEA portfolio and it's really centered in middle countries is there a strategy not to do the Coast or you are just waiting for the right operator to move RIDEA on to the Coast?
Justin Hutchens: Dan. This is Justin again. Really, if you recall that there is kind of special circumstance with the one operator Bickford senior living that led to us to do RIDEA structure to begin with there, they had some equity built up in their operations and a way for them to monetize that was for us to effectively purchase the operations which led to the joint venture structure. Bickford is a Midwest focused company it has been for 20 years and they've done very well in the Midwest markets and so we’re supporting their desire to continue to grow in the Midwest. In terms of costal markets certainly we have some triple net lease opportunities on the Coast. We really haven’t had an operator request that structure that has a coastal presence yet.
Operator: Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: I was wondering if you could share maybe some of the metrics on the entrance fee portfolio including occupancy and cash flow coverage.
Justin Hutchens: This is Justin. The cash flow coverage is consistent with where it was on the written which was a one-to-one cover however there you might recall that there is some units that are under construction that will be opened later this year that's going to add to cash flow coverage plus there has been some occupancy improvement that's going to continue to contribute to cash flow which will improve coverage overtime. We had projected a 1.2 cover for the year and more potential to improve beyond and so far I don’t have any indications that that won't be the case.
John Kim: And what about the occupancy?
Kevin Pascoe: The occupancy has continued to improve within the portfolio and as Justin mentioned there is going to be some additional opportunities later this year as the construction units come online and will contribute to the cash flow.
Justin Hutchens: And, we actually don't report occupancies of individual portfolios.
John Kim: I know what acquisition was 85.4% I just wanted know the [Multiple Speakers].
Justin Hutchens: I can tell you it's improved since then.
John Kim: And the G&A expense went up 31% this quarter I know some that was compensation based but what's the good run rate going forward and are you looking to expand the team?
Roger Hopkins: John this is Roger. We did increase G&A over the same quarter in 2014, we've increased the team beginning in the first quarter with two people including Eric that we heard from earlier we had certain payroll taxes and employee benefit costs relating to some stock option. Exercises during the first quarter we had marketing expense that is very typical for the first quarter also as mentioned in my previous remarks due to the vesting schedule of air stock option grants the first quarter is loaded with non-cash compensation expense which amounted to 1.231 million in the first quarter so as far as our run rate is concerned it should roughly be about two-thirds of the first quarter that being for the second quarter coming.
John Kim: And then my final question is on your development activity you have provided some additional disclosure which is great on your developments and I just wanted to know how you calculated the yield on your renovations? Is this expansion space or is this just taking older space and you are renovating it and you can get higher rents that's equating to the field?
Justin Hutchens: So how we calculated the yield, I am not sure I understood the question [Multiple Speakers]. Well first of all this is Justin that's a cash yield that's reflected and what you will have that usually we’ll agree to use of the existing lease rate in the lease which if you start with the seven it escalates for instance that may wind up with the kind of an awkward yield number if you are say at 7.72 is jumping out at you and then on the case of the Kentucky renovation that was just in a negotiated rate on the frontend when we renewed the lease we agreed to finance their renovation at 9% and then saying what the skilled nursing yields but those are cash yields.
John Kim: And are any of these additives to the existing space or are they just a pure renovation?
Kevin Pascoe: This is Kevin. It would be a mix of the two there are some where we've added some additional space and some where we've just improved the existing physical plant.
Operator: Our next question comes from the line of Todd Stender with Wells Fargo. Please proceed with your question.
Todd Stender: We're seeing more lending from you guys lately to operators I just wanted to hear a little more color on the mezz loans. Roger mentioned this in his prepared, it was paid off in the quarter can you guys give some details around that loan? How long was it outstanding and maybe an IRR if you guys look at it that way?
Justin Hutchens: On that specific loan that was paid off?
Todd Stender: Yes, I think Roger mentioned that there was a mezz loan that was paid off in Q1?
Kevin Pascoe: This is Kevin. That was for a construction project on a project in Florida assisted living memory care community that paid off. We typically don’t do an IRR on that but that had a coupon of 13% and it was paid in full when it transitioned to a newer or refinanced this out.
Justin Hutchens: And in that case, this is Justin again. Strategically it put us in a position where we could potentially own the asset right at first refusal. In this case we decided not to pursue that route, and took out pay off and we move on.
Todd Stender: Any specifics around why you passed anything you can share?
Justin Hutchens: Yes, I don't mind sharing that Philip was a little slower than expected although their credit was satisfactory to refinance and pay us off, so just the overall strength of the project was good enough to get our capital back, but maybe not strong enough for us to want to pursue deploying more capital. So we went ahead and took the pay off.
Todd Stender: And then just, sorry did I cut you off?
Justin Hutchens: No, I said you're welcome.
Todd Stender: When you look at the ATM program that you guys now have your stock obviously trades a lot more liquid, can you kind of just share how you look at the valuation metrics to know when to issue stock kind of visit the -- just ultimately to evaluate your cost of equity to when to pull the trigger, how do you kind of look at where your stock trades?
Eric Mendelsohn: This is Eric. We look at the ATM as dry powder and it's an acquisition driven decision.
Todd Stender: And so how do you evaluate the cost of that equity, at what price is your evaluation metric that you're tethered to?
Eric Mendelsohn: No, it depends on where we're trading at the time, it depends on what our dividend is and it depends on what the yield is of the potential investment.
Operator: Our next question comes from the line of Rich Anderson with Mizuho Securities. Please proceed with your question.
Rich Anderson: So just further onto that that question, from I think it was Todd. So do you have in mind, if your debt cost to capital of 3.5% I think you said and your future investments go on a 60-40 equity to debt ratio, what do you think of as your cost of capital when you add in the equity cost of capital the blended cost of capital?
Justin Hutchens: This is Justin. I am not trying to avoid the question but obviously that's going to depend on the price at the time and also we're going to consider our cost of equity, our cost of debt from a long-term perspective and then we're going to consider the investment and so what you'll find from us when we make investment announcements that they will coincide with the capital sources which will include both debt and equity. And then that market will have clarity on the margin that we will have when we make the investments, but to project it's hard to do because both the cost of debt and equity tend to move around a bit and so the cap rates depending on the exact opportunity when we make an investment so there is a lot of variability in there.
Rich Anderson: Well, I guess what I am saying is not to get overly theoretical here it’s Friday after all, but you can do an AFFO yield and that's your cost of equity or and that -- I just did quickly it is 6.2% based on consensus or you can have a longer term cost of equity what would people expect to get out of your stock and maybe that's 8% or 10%, and when do you think of investment which do you apply the kind of short-term view on that cost of equity or the longer term view on cost of equity?
Justin Hutchens: We apply the cash point of view so it'd be the short-term point of view on cost of equity.
Rich Anderson: Okay.
Justin Hutchens: And then we'll factor in, the divided growth overtime but that will utilize the escalators or any other potential growth we have in the investment as well.
Rich Anderson: Okay.
Justin Hutchens: And clearly the debt is the fixed component and we’ve been terming out between seven and 12 years and in some cases longer when we have a limited amount of secured debt that we’ve used. And we do understand clearly that the equity in fact becomes more expensive overtime but at the time we make investment, the investment we are looking at the cash side of it.
Rich Anderson: You mentioned at the beginning which I thought was a good way to put it that you are small enough to grow but big enough like a balance sheet, like a large cap healthcare REIT. So do you have an attempt to what your cost of capital is, how more expensive it is relative to maybe the big three in your space?
Justin Hutchens: Well, our cost of debt capital I think is in fact the lowest in the space and the reason for that is because back in 2009 when we started our growth spur we had no legacy debt. We know at zero debt we had cash and so we’ve been able to really manage the balance sheet to our liking and have I think done a pretty good job of utilizing low cost sources of debt and have kept that number below the peer group.
Rich Anderson: I think it was Kevin that said the focused assets the six in the same-store portfolio, you said are stable, is that right so the occupancy is not growing, is that what you meant by stable?
Kevin Pascoe: Sorry no, the occupancy is improving and is expected to improve on the six. So it’s just saying that they are not going backwards.
Rich Anderson: So not going backwards, okay, new definition of stable, okay Justin may be media big picture kind of another theoretical type question for you, some might say that operators are willing to sell off risk of their operations and just take on a management role as a view like they are trying that they see something that maybe the REITs don’t in terms of taking on that risk, not sure if you heard that theory before. But do you think there is any truth to that that a guy coming from the operations background that why would operators willing to engage a RIDEA structure with the REITs at this point if there is apparently so much value in that structure from your perspective?
Justin Hutchens: And it may take a while to answer because I do have some opinions on this matter and I’d say that let’s start with, from NHI’s perspective our top-five customers’ combined experience operating is over 28 years average, the combined average. So we’ve partnered with those companies and many others that have a very long-term point of view from a business plan perspective. They’ve been doing it for a long time and they plan to continue to operate. And we are dealing with customers that have a long-term business plan than their operators, our experience is they are going to want to own as much as that future cash flow as possible. And so I think our structure if you look at our portfolio reflects that we have one RIDEA relationship and the reason we have that was because there was a need to monetize some operating equity by the operator and they had a strong desire to develop new assets and they had a capital source in NHI backed us to feel that need. So they were willing to trade some of that upside for the ease of raising capital for the development priority. So when you look at transactions where the operator is giving up their future potential that to me may, it reads to me like a short-term business plan I also think it is a signal that the market is feeling as though their selling assets at a valuation that’s picking. I’m not saying I have it is -- and I have a perfect crystal ball to say who is on the right side of that transaction, but I can say that in NHI’s case we are on the lookout for operators that want to retain as much of their upside as possible, retain as much of their cash flow as possible, because that’s an indicator of an operator that has a long-term business plan.
Rich Anderson: So there is in your view some of that out there than and some of these not to name names but in some cases you feel like it’s topped out and that’s the reason for the “sale” of the operations?
Justin Hutchens: Yes, I do think so and I’d also point to this that in the case that there is a private equity seller that’s absolutely going to be a driver of their propriety and so you’re going to have a case where you will see them trying to extract as much value out of the real estate and the operations and may leave a management company in place and I think over the years we've seen many transactions like that but in all fairness we've seen transactions where private equity has exited realized at a nice price but we have seen that those operations grow as well so that's why I’d say I am now I don't pretend to have a crystal ball to know who is on the right side of the trade but certainly there has been some sales where it’s evident that they are trying to get as much out of, squeeze as much out of it as they can today in their short-term point of view and living a very small operating company or a management company to manage the operations on a go forward basis without a lot of skin in the game.
Rich Anderson: And then a quick one for Roger, are the two loans that you are in the process of funding are they currently yielding or I believe in the case of a construction loan is there some sort of accrual that you are earning or was it real cash coming in the door?
Roger Hopkins: No, it is real cash, coming in each month.
Operator: [Operator Instructions] And our next question comes from the line of Jordon Saddler with KeyBanc Capital Markets. Please proceed with your question.
Jordon Saddler: A quick one on the appetite for to sell assets here at these prices is there anything else within the portfolio worth calling at this point and/or could you remind us if there are any remaining repurchase options?
Justin Hutchens: Sure. This is Justin. It certainly isn’t a bad time to consider selling but if you look at NHI’s portfolio a majority of it we've acquired over the past six years and along those six years we did do some selling as well so we've been able to shed older assets where we are continually looking at portfolio to see if there maybe something that, that we want to sell to take advantage of market timing there is nothing in cement at this time but that's absolutely always part of our line of thinking because the goal is to make sure that the asset pool we have is on the highest quality and will have long-term relevance and I can say that most of our portfolio an overwhelming majority of our portfolio qualifies in that regard but we will continue to look at opportunities to prune overtime.
Jordon Saddler: And then switching to RIDEA for a second, can you maybe give us a sense for what the overall appetite for RIDEA might be relative to the overall portfolio I mean would you go up to 20%?
Justin Hutchens: This is Justin again. The appetite I am going to back up for a second. NHI’s appetite has to do with partnering with experienced operators that have a an immediate capital need and also have a desire to continue to grow, we've had operators pursue financing with us, we've had them pursue leaseback transactions, construction financing and the RIDEA structure and we leave it pretty open ended in terms of what structure we might consider depending on the operators’ needs and our comfort level from a credit risk standpoint from the specifically to the RIDEA question we really don't have goal to grow that at all at this point accept organically through our existing RIDEA partner Bickford senior living it doesn’t mean we'd rule out other opportunities though and we really have not set a target number in terms of exposure at this time.
Jordon Saddler: I think a last one is on the leverage or capital structure I am looking at Slide 9 from the supplemental and it's been referenced the 60 to 40 debt equity funding mix but I'm also looking at the lower right the net debt to EBITDA and how that factors in because you are still quite low obviously on that metric although of course it has risen as you finally start to employ some leverage over the last few years so. How do you think about it on a debt to EBITDA basis because obviously if you are acquiring assets at cap rates in the sixes and sevens your debt to EBITDA just technically on a 60 to 40 funding basis would migrate closer to the sort of six to seven range itself right just simple math right, your debt component 40% of fixed cap is 6.6 times and so how do you think about entity level leverage on a debt to EBITDA basis or is it just more that you are focused on that 60-40 number?
Justin Hutchens: This is Justin I'll make a comment and then if Eric wants to add anything or Roger they can but I would say that starting with just the overall metric, we like where our current leverage level is which is in that low 4s. We don't mind have letting that drift up at times depending on the market timing and cost of equity so that we can pursue opportunities; however, our goal is to be among the lowest levered companies overtime so that as we move through various cycles, NHI is one of the most bankable companies at any given time. And we believe by keeping the leverage low and the balance sheet where it is today that we'll be in a position to be more competitive if and when interest rates in fact do go up, we think we're in a tremendously good position to take advantage given our leverage level versus the peer group. And so from an entity standpoint, you'll see us to use them, you'll notice that we're going to use the majority equity moving forward to continually keep the leverage low.
Eric Mendelsohn: I would just add to that that certain acquisitions come with debt placed upon them like the Bickford acquisition, so there are times where that target can't be met because of the current state of the capital stack.
Operator: And our next question is a follow-up question from the line of Rich Anderson with Mizuho Securities. Please proceed with your question.
Rich Anderson: I actually don't have any more questions. But I failed to give you credit for the improvement on the quarterly discloser and the structure of the call, I think it was excellent. I particularly like Page 13 the most, so thanks very much, that is where all the pictures are.
Operator: And there are presently no further questions. At this time I'll turn the call back to you for your closing remarks.
Justin Hutchens: I would like to thank everybody for joining the call. We look forward to speaking again next question. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.